Disclaimer*: This transcript is designed to be used alongside the freely available audio recording on this page. Timestamps within the transcript are designed to help you navigate the audio should the corresponding text be unclear. The machine-assisted output provided is partly edited and is designed as a guide.:
Operator: 00:14 Good morning. Today is November five, twenty twenty one. Welcome to the Toromont Third Quarter twenty twenty one Results Conference Call. Please be advised that this call is being recorded. 00:26 Your host for today will be Mr. Michael McMillan. Please go ahead, Mr. McMillan.
Michael McMillan: 0:31 Great. Thank you, Valerie and good morning, everyone. Thank you for joining us today to discuss the results of Toromont Industries Limited for the third quarter and nine months of twenty twenty one. Also on the call with me this morning is Scott Medhurst, President and Chief Executive Officer. As noted in the press release issued yesterday, we will be referring to a package posted on our website, and we encourage listeners to download it and follow along. 00:58 At this time, and as noted on slide two of our presentation, I'd like to advise listeners that this presentation may contain forward-looking statements and information that are subject to certain risks, uncertainties and assumptions that may lead to actual results or events differing materially from those expected. For a complete discussion of these factors, refer to our press release from yesterday, which is available on our website. 01:25 As is our practice, we will focus on key highlights for the current quarter. Scott will begin with a few general remarks, followed by comments on our overall results, after which I will provide some highlights on our divisional results and financial position. After our prepared remarks, we'll be more than happy to answer questions. 01:42 Over to you, Scott.
Scott Medhurst: 01:44 Thank you, Mike and good morning, everyone. Before I begin, I would ask you move to slide three of the package. Overall, end market activity levels remain solid with easing of the pandemic restrictions and shutdowns. The businesses continue to operate in a very fluid, complex and uncertain operating environment with many variables. 02:08 Equipment Group reported strong prime product deliveries and solid order bookings in the quarter. Tight supply of equipment from OEMS, coupled with improved sales activity versus last year have resulted in lower equipment inventories. Rental and product sport activity improved, driven mainly by higher utilization levels. 02:30 CIMCO continued to deliver on their order backlog that had significant growth last year. However, revenues decreased on timing of customer construction schedules impacted by COVID-related supply chain restrictions. That said, product support activity improved, particularly in the recreational market, as facilities prepare to reopen for the winter season. 02:53 Overall, the operating leverage remained favorable. We are continuing to assess the learnings from the past year with respect to cost structures and new ways to do business with continued focus on customer deliverables, as activities in business is open. 03:11 Given the variables, we continue to operate with caution, monitoring the fluid nature of COVID-19 variants, maintaining disciplined protocols, as well as evaluating economic factors flowing from the pandemic, including supply chain disruptions, equipment and parts availability and factors affecting inflationary rates. 03:33 Turning now to our financial results highlighted on slide four. Backlogs were one point one billion dollar at quarter end, up one hundred and twenty four percent versus Q3 twenty twenty. In the Equipment Group, solid bookings continued mainly in our mining and construction businesses, which represent approximately thirty three percent and forty five percent of our backlog, respectively. 03:57 CIMCO backlogs were twenty nine percent lower versus last year, which had exceptionally strong bookings in the first nine months of twenty twenty. CIMCO Q3 bookings improved mainly, due to recreational orders in both Canada and the U.S. 04:15 On a consolidated basis, revenues increased eight percent, reflecting solid activity levels in the Equipment Group in most markets, in region and regions and weaker packaged sales at CIMCO. Overall Equipment Group execution was solid. Product support and rental revenues increased four percent and six percent, respectively, compared to the similar quarter last year and were both up six percent and seven percent, respectively on a year-to-date basis. 04:45 Operating income was up nineteen percent in the quarter and thirty three percent year-to-date on the higher revenues, coupled with good margins. Revenue growth outpaced expense growth. The easing of COVID-19 restrictions have improved activity levels on a year-to-date basis. 05:03 Net earnings increased twenty one percent in the quarter, thirty seven percent year-to-date versus twenty twenty, while basic earnings per share increased zero point nineteen dollar to one point thirteen dollar per share in the quarter and increased by zero point seventy three dollar to two point seventy five dollar per share on a year-to-date basis. 05:23 We appreciate and value our entire team's incredible effort and ongoing commitment to adapt to changes in the business environment and focus on executing customer deliverables. Activity levels trended well, as demonstrated by our backlog levels. However, production schedules and supply chains are challenged and likely to impact availability and results in delivery date extensions. 05:48 Additionally, we continued to monitor inflationary rates and economic factors, as the pandemic unfolds. Technician hiring remains top priority, grow our product support offering and meet demand. The diversity of our geographic landscape and market served, extensive product support and service offerings, the technology investments and financial strength, together with our disciplined operating culture continue to position us well. 06:18 We are proud to continue to provide the essential services and solutions that our clients are looking for while remaining diligently focused on safeguarding our employees and protecting our business for the future. 06:30 Mike, I'll turn it over to you for some more detail comments on the group results.
Michael McMillan: 06:34 Tanks, Scott. Let's put a bit more color on the operating results, starting with the Equipment Group on slide five. Revenues were up ten percent in the quarter, seventeen percent on a year-to-date basis on strong equipment sales combined with higher product support and rental activity in most markets and regions. 06:53 Total new and used equipment sales were up sixteen percent overall in the quarter and up thirty percent year-to-date. Sales increased across most markets and regions in the quarter. However, some were lower than prior year on timing of equipment delivery and customer-specific orders. 07:10 In the quarter, construction markets were up five percent, binding up one hundred forty one percent, power systems down three percent, material handling, down four percent, and agriculture effectively flat year-over-year. On a year-to-date basis, equipment sales were up across all markets, reflecting the pandemic effects last year. 07:30 Rental revenues were up six percent in the quarter and seven percent year-to-date. Most markets and segments were up, reflecting continued improvement in the market activity in the third quarter against a weak comparable last year. Light equipment rentals were up nine percent in the quarter and eight percent year-to-date. 07:49 Heavy equipment rentals were down two percent in the quarter, however, we're up twenty two percent year-to-date. Power rentals were up thirty percent in the quarter, thirteen percent year-to-date and material handling rentals were up thirty six percent in the quarter and twenty one percent year-to-date. 08:06 RPO revenues were down twenty eight percent in the quarter and thirty two percent year-to-date on a smaller average fleet reflecting the recent customer preference for purchase versus an initial rental period. The RPO fleet was thirty seven point three million dollar versus forty two point four million dollar a year ago, and in both cases, well below more normal levels we'd operate at prior to the pandemic. 08:30 Product support revenues grew three percent in the quarter and seven percent year-to-date in both parts and service revenues in the majority of the markets and regions. Activity within construction markets was up one percent in the quarter and eight percent year-to-date. Mining was up two percent in the quarter and four percent year-to-date. Material handling was up sixteen percent in the quarter, twenty two percent year-to-date, and agriculture activity was down twenty two percent for the quarter and nine percent year-to-date. 08:59 Gross profit margins increased one hundred and seventy basis points in the quarter and sixty basis points year-to-date compared to last year. Margins increased across all revenue streams, partially offset by unfavorable sales mix. Equipment margins were up one hundred and thirty basis points in the quarter and fifty basis points year-to-date, reflecting strong demand. 09:20 Product support margins were up fifty basis points in the quarter and twenty bps year-to-date, reflecting improved efficiency on higher volumes. Rental margins were higher by eighty bps and one hundred bps for the quarter and year-to-date, respectively. These improvements reflect higher utilization as well as benefits from fleet adjustments, including selective dispositions and acquisitions over the last year. 09:45 A shift in sales mix with lower -- a lower proportion of product support revenues to total revenues decreased margin by one hundred bps in the quarter and one hundred fifty bps year-to-date. This is reflective of stronger comparative equipment sales in the year. 10:01 Selling and administrative expenses in the quarter increased nine point six million dollar or nine percent and twenty four point one million dollar or eight percent for the first nine months of twenty twenty one. Excluding the CWS booked last year, expenses were up three percent and five percent for the quarter and year-to-date, respectively. The increase is mainly attributable to higher compensation costs on higher staffing levels, annual salary adjustments and higher profit sharing accruals with higher earnings, partially offset by a lower mark-to-market adjustment on deferred share units. 10:32 Other expenses such as travel and training increased in support of higher activity levels and after a reduced spending period. Allowance for doubtful accounts decreased one million dollar in the quarter and zero point nine million dollar for the first nine months of the year on good collection activity. 10:51 Operating income for the quarter and year-to-date was twenty five percent and thirty seven percent, respectively, reflective of the higher revenue level, coupled with lower expense ratio, again, revenue improvement, outpacing expense growth. 11:07 Bookings increased forty five percent in the quarter and eighty five percent year-to-date across all sectors, except material handling, which was lower by forty six percent in the quarter. Mining led the way, up two hundred and sixty eight percent, with several large orders, construction up twenty five percent, power up forty six percent, and agriculture up twenty four percent. 11:27 Backlogs of nine hundred and three point five million dollar or two hundred and fifty three percent higher than this time last year across all sectors. Approximately forty percent of which are currently expected to be delivered this year and subject to timing, differences depending on vendor supply, customer activity and delivery schedules. Approximately eight percent of the backlog is scheduled for delivery in twenty twenty three. 11:52 Now let's turn to CIMCO on slide six. Revenues were down five percent in the quarter and up twenty five percent year-to-date, mainly due to lower package revenues. Supply chain and COVID-related restrictions have also resulted in deferral of some customer-specific construction schedules. That said, product support activity improved ten percent in the quarter and increased one percent year-to-date, mainly reflecting a gradual increase in economic activity, as site restrictions started easing and demand in recreational centers increased in anticipation of re-openings for the winter season. 12:27 Package revenues were down sixteen percent in the quarter, with decreases in both recreation and industrial markets and up fifty percent year-to-date with increases in the recreational industrial markets for the quarter. For the quarter, package revenues in Canada were down twenty nine percent, reflecting lower industrial and recreational revenues. 12:47 In the U.S., package revenues increased fifty seven percent on a smaller activity base with higher revenues in both industrial market and recreational markets. On a year-to-date basis, package revenues increased in both Canada, up fifty three percent and in the U.S., up thirty seven percent, with increases in both recreational industrial markets in Canada across all regions and in the U.S. 13:10 Product support revenues increased in both the quarter, up ten percent and year-to-date, up one percent versus last year. Revenues in Canada increased ten percent in the quarter and remained relatively flat year-to-date, reflecting, as previously noted, the gradual increase in economic activity as site restrictions in most areas ease and demand, particularly in the recreational centers increase in anticipation of reopening for the winter season. 13:35 In the U.S., the higher technician base continue to support activity levels, resulting in a ten percent increase in the quarter and a six percent increase year-to-date, albeit on a smaller base. Gross profit margins decreased three hundred and twenty basis points in the quarter and four hundred sixty basis points year-to-date versus last year. The decrease in gross profit margins in the quarter was due to lower package margins mainly due to certain larger projects and lower product support margins, partially offset by a higher sales mix of product support revenues to total revenues. 14:10 On a year-to-date basis, the decrease was due to lower package margin combined with unfavorable sales mix of product support revenues to total revenues, as well as slightly lower product support margins. Margins mainly reflect activity levels, their nature of projects in process and construction schedules, which are variable. 14:28 Selling and administrative expenses were up five percent in the quarter and nine percent year-to-date, reflecting higher spending to support future sales. Certain costs, such as travel and training were higher after a period of contained spending. Compensation increased on higher staffing levels, while occupancy costs increased related to facilities expansion. The allowance for doubtful accounts decreased on good collections, slightly offsetting the increased costs. 14:58 Operating income was forty seven percent lower for the quarter and down nineteen percent year-to-date, reflecting lower package sales and lower margins, along with slightly higher expenses in the quarter. On a year-to-date basis, higher package revenues were more than offset by lower gross margins, partly due to lower product support mix and increased expenses. 15:19 Bookings were forty eight point five million dollar in the quarter, up twenty two percent versus last year. Recreational bookings were two hundred percent higher on increased market activity in both Canada and the U.S. after a period of limited activity given the pandemic closures and restrictions. 15:36 Bookings in industrial markets were twenty three percent lower with reduced activity in both Canada and the U.S. Year-to-date, bookings were one hundred and thirty two point five million dollar, thirty five percent lower than last year. Recall that several large industrial orders were received in Canada in the first quarter of twenty twenty, resulting in a decrease in bookings compared to last year. Industrial orders were down fifty two percent, with a decrease in both Canada and the U.S. 16:01 On a positive note, recreational orders increased seventeen percent to fifty nine point one million dollar, with increases in both U.S. and Canada. Backlogs of one hundred and fifty three point eight million dollar were twenty nine percent lower than the end of September last year, mainly related to progress against the relatively large industrial orders noted. We expect approximately fifty two percent of this backlog to be realized as revenue this year. However, this is subject to construction schedules and potential changes stemming from the COVID-19 pandemic. 16:33 On slide seven, I'd like to touch on a few key financial highlights. Non-cash working capital reflects our team's focus and effective actions to proactively manage changes relative to activity levels and underlying demand. Management of our working capital receives keen focus, as we position the company for the future. 16:52 Accounts receivable aging is trending well, as DSO remained flat at forty six days compared with Q3 of twenty twenty. Inventory levels continue to be adjusted in light of market activity and were one hundred and sixty four million dollar below prior year levels, which also were managed lower last year due to pandemic influences. 17:12 Accounts payable reflect the timing of purchasing and the wind down of certain extended terms with suppliers, which is effectively complete. We ended the third quarter in a strong financial position with ample liquidity, including cash of seven hundred and thirty tree million dollar and our net debt to capitalization ratio at minus five percent. Overall, our balance sheet is well positioned to support changes in demand as we emerge from the pandemic. 17:38 Also of note, we participated in our NCIB program, repurchasing about four hundred and seventy thousand shares to-date. And finally, as announced, the Board of Directors yesterday approved the regular quarterly dividend at a rate of zero point thirty five dollar per common share, consistent with the last quarterly dividend when it was increased by zero point zero four dollar per quarter or twelve point nine percent. 18:02 On slide eight, we conclude with some takeaways, some key takeaways, as we look towards Q4 and twenty twenty two. We will continue to focus on our three key priorities, protecting our employees, serving our customers and providing our business and protecting our business for the future. We expect the business environment to remain dynamic with many variables at play for the remainder of twenty twenty one and as we enter twenty twenty two. 18:30 A tone of caution is warranted given the inflationary factors, persistence of the pandemic, and response required as vaccination rates improve and restrictions ease. We continue to proactively monitor developments closely and refine our business practices appropriately. 18:46 As discussed today, market activity was solid in the quarter. And similar to the first half of the year, unique customer buying patterns are evident relative to historic trends. Prime product and parts supply pressures were evident, including extended delivery dates due to supplier constraints. We continue to work actively with our business partners and suppliers on an ongoing basis, monitoring availability, delivery schedules and customer buying preferences. 19:13 Across the organization, we are continuing to leverage the learnings from the past year with respect to cost structures and new ways to do business. Technician hiring also remains a top priority to meet demand and build our team for the future. Operationally and financially, we are well positioned to effectively respond to both customer requirements and market opportunities, leveraging our operating discipline and culture. 19:38 Additionally, I'd like to comment on the outlook section where our mid to long-term prospects are described is being very optimistic. When we look at infrastructure work and mining activity relative to our backlog, I would emphasize, again, relative to our backlog, we are pleased. However, there are many variables in play relative to availability, inflationary costs and other economic factors. 20:06 These considerations combined with the highly competitive environment mean, we need to earn the business. With this in mind, the statement should be understood and interpreted that we are encouraged with the backlog, but that, too, needs to be executed properly. The optimism noted is reflective of our large backlog at play over the medium to long-term, nothing more, nothing less. 20:32 That concludes our prepared remarks. At this time, we'll be pleased to take questions. Valerie, over to you to set up the first call, please.
Operator: 20:39 Thank you. We will now take the questions from the telephone lines. [Operator Instructions] Our first question is from Cherilyn Radbourne with TD Securities. Please go ahead.
Cherilyn Radbourne: 21:10 Thanks very much and good morning.
Scott Medhurst: 21:13 Good morning, Cherilyn.
Cherilyn Radbourne: 21:16 Scott to the extent that you have quite new equipment supply, can you talk about how you work with the team to flex the other levers that you have to satisfy demand like rental, used and rebuild?
Scott Medhurst: 21:29 Yes. Well, we're -- I mean, it started to really creep in, in the quarter, some of those constraints. We are pleased, again, we've been sticking with those pipeline disciplines, which I think continued to pay off a bit in the quarter. We were fortunate and we're working hard on our rental strategy. So the utilization was really improving in the quarter when you compare it to last year. So that was good. Our fleet uploads have been a bit of a struggle as well. But the good thing was the utilization really improved in the quarter, which was good. So that certainly adds to some of the outcomes. 22:11 In terms of used equipment, I mean, we were down eleven percent in the quarter on the Equipment Group, but just to provide a little more color on that. That reflects the tight operating environment when it comes to low hour used equipment. So that was down as well as the RPO income. So again, we're operating in a bit of a unique environment with interesting customer buying behaviors. 22:39 But still, we were able to -- when you talk about pulling levers, the team did a nice job continuing on with our strategy to work with customers on our different solutions in the used equipment environment. And our used purchases and trade revenues were actually up I think it was over thirty percent in the quarter. So that shows the team is working hard to work with customers on our used equipment solutions. So we're pleased with that. So those are some of the factors going on there. 23:08 And then, of course, on the product support side, we're working hard in there. And the rebuild activity that increased on a unit basis. I think we're up sixteen percent and on a revenue, about fourteen percent. So there are some areas, the teams we're very pleased with some of the outcomes, but it is unique. When you see that RPO inventory down again and it was soft last year, I mean, we're down over one hundred percent to where it normally is. 23:38 And as you know, Cherilyn, that usually transcends into some strong conversions in Q4. So it is a bit different. And as we said in the last quarter, now we really kind of -- it really crystallized, there was a pull forward in buying behaviors in Q2.
Cherilyn Radbourne: 23:58 That's great color. As far as how the supply chain is operating differently in this upturn versus previous upturns. Can you help us understand that, like, is it specific models or use that are in short supply or is it a more diverse problem than that?
Scott Medhurst: 24:19 Yeah. It's -- again, I mean, our new sales were strong, and I think that reflects how close we've been working with our supply partners on all fronts, but it's a bit diverse in there, when you look at it both on the aftermarket requirements, as well as the prime product. It really crept in there in Q3. And you see it, our inventories are, as you know, Cherilyn, those inventory levels, they're down like nineteen percent in the equipment group for this time of year, that's again, a bit unique. So we're working hard in there with this one, but there's constraints in there.
Cherilyn Radbourne: 25:03 Thanks. I’ll keep it in queue and pass it someone else.
Scott Medhurst: 25:09 Thank you very much.
Operator: 25:10 Thank you. Our next question is from Bryan Fast with Raymond James. Please go ahead.
Bryan Fast: 25:16 Thanks. Good morning, guys.
Scott Medhurst: 25:18 Good morning, Bryan.
Bryan Fast: 25:20 Can we just get some color, I guess, on the landscape for technician hires? Understanding that it is competitive out there, but maybe just some high-level comments on how you're attracting talent?
Scott Medhurst: 25:34 We're making progress and -- which is good. And it's again, it's another trying to be disciplined in our approach throughout all our businesses. The headcount has increased, I'll call it nicely, could be better, but we're progressing. And we're working hard on our talking with various strategies relating to recruitment. But that's not just recouping, it's also working closely with our apprenticeship programs, and that's another key component of our strategy that we're heavily focused on.
Bryan Fast: 26:13 Okay. Thanks. And then, just surrounding your comments on improving operational efficiency, and leveraging learnings from the past year. Could you just provide at a high level, some of those learnings that you expect could help going forward?
Scott Medhurst: 26:28 Well, we've learned how to operate a bit remotely. And we were fortunate in Q3 again, that operating leverage came through, what's still there. So now we're focused on that. We're going into planning sessions and what we've learned in terms of how we can operate a bit differently and really, in many ways with technology, improve our customer interface and just doing a few things differently. But the operating leverage was still favorable in Q3. Things are opening up, though.
Bryan Fast: 27:03 Good to hear. Thanks. That’s it from me.
Scott Medhurst: 27:07 Thanks.
Operator: 27:08 Thank you. [Operator Instructions] Our next question is from Michael Doumet with Scotiabank. Please go ahead.
Michael Doumet: 27:20 Hey. Good morning, guys.
Scott Medhurst: 27:21 Good morning.
Michael Doumet: 27:21 Good morning. Just a follow-up on that last question, I mean, operating leverage seems to be getting better and better. I mean, if you look at it from an SG&A as a percentage of gross margin I mean, the company is essentially entering a new record territory. So you did talk about it a little bit there starting your last response, but just to get a sense, is it really just expense management post COVID or should I attribute it mostly to maybe some structural efficiencies in the business?
Scott Medhurst: 27:50 Well, we're always working on our structural efficiencies and we're always working on our operating costs, while we invest in technology. So there's a bit of that in there. But also, like, we're fortunate in some things. I mean, we're operating very disciplined, right? We're not -- I mean, we've been able, and I'm really -- I couldn't be more proud of our team in adapting to this very complex environment. In the Q3, we saw inflationary costs start to creep in. We saw there's some economic risk there. So we're still cautious for sure. We're -- but we've been and the team has been executing, I would say, nicely. And we were fortunate in the way this operating leverage was positioned again in the quarter for multiple variables like you've outlined there. So things are opening a bit, and we're working hard to see how we can adapt with some of these and I'll classify them as best practices, but that still very much is work in progress.
Michael Doumet: 28:55 Yeah. That’s very impressive. I mean, maybe another way to think about it.
Scott Medhurst: 28:58 Well, again, we're fortunate in some areas, too. Okay. So we don't want to -- but we're working. The team is working hard in there to really work hard to execute with customers on the deliverables.
Michael Doumet: 29:13 That's great. And then I guess maybe the other way to think about it, I guess, again, just for us on the outside kind of looking in here. The Equipment Group margins are tracking essentially above where they were pre-wet. And I understand maybe the integration is yet complete. But I'm curious if you can give any color here just as to whether the margin gap has mostly closed at this point or whether the margins maybe at the legacy regions are finding ways to decline higher versus pre-wet? Just a little bit of color there between the regions would be great.
Scott Medhurst: 29:51 Well, again, we're in a bit of a unique environment. But in terms of the integration, I mean, we slowed a bit there with some of the unprecedented variables that took hold, with the largest part of the enterprise and then in the Equipment Group. We still haven't completed that integration. But I'd say we got, again, hats off to the team, applaud their execution. We've worked hard in there, particularly with that ERP integration. So we've really just finished year one of that. We're not finished yet actually totally there with material handling. But -- so I think that did contribute a bit.
Michael McMillan: 30:37 Yeah. I think one part to think about too, Michael is if you look at the integration platform systems and stuff are progressing nicely. I think when you look at our business on the rental side, and we've talked pretty openly about this. As Scott mentioned, there is a little bit of a pause with the pandemic. We're about halfway through a five year cycle on the rental business that we talk to as far as getting to the full cycle productivity levels and the life cycle of the fleet in that business. And so we've got a couple of years left on that to realize the full returns on an aged fleet and when the disposals on things, so that is part of the equation yet to come, right, and specific to the rental side of the business as we develop that market in Quebec and the Maritimes.
Michael Doumet: 31:30 Got it. That’s great color, guys. And maybe if I can sneak one last one. It's a short one. On the annuity purchase transaction closed in Q4, is that expected to lead to any sort of cost savings in subsequent quarters?
Michael McMillan: 31:43 It's yet to be seen. I mean we'll take a small charge as we disclosed in the subsequent event note. And so I think we're working through a number of things on the pension side, just to economize. There'll be some small saves. I wouldn't say they'd be overly material. But certainly being able to annuitize some of the pension and relieve that liability, I think, is going to be a positive factor for us going forward in terms of just managing the liability and making sure their employees are taking care of on their pension benefits.
Michael Doumet: 32:22 Perfect. Thanks very much guys.
Scott Medhurst: 32:24 Thank you.
Operator: 32:26 Thank you. Our next question is from Maxim Sytchev with The National Bank Financial. Please go ahead.
Maxim Sytchev: 32:33 Hi. Good morning, gentlemen.
Scott Medhurst: 32:35 Good morning, Max.
Maxim Sytchev: 32:36 Maybe if you don't mind, if we start with product support and the -- are there constraints on the parts side that is preventing maybe a bit of a more aggressive normalization on this line item or how should we think about this in terms of sort of a pent-up dynamic on PS?
Scott Medhurst: 33:01 Yeah. A few variables in there, Max. We did start to feel constraints with aftermarket from -- but the other thing is customers are very busy, right. Their demands are high, which is reflective in some of these outcomes. So there could be a bit of pushing out some of repair schedules as well. The other factor is some of the mix in there on some of the dynamics. I mean the rebuilds were up. Wet is increased about six percent in the Equipment Group, so that's reflective of some of the outcomes as well. And so I think there's been -- with the shift in the last while to new, I mean, that impacts things a bit as well, right, in terms of the age of the units. The good thing is our unit sales were up again in the quarter. So there is a lot of different factors playing in there. And there was also a bit of a drag due to FX, if you look at it on a quarter-over-quarter basis in the parts area as well, so all those factors contribute to the outcome.
Maxim Sytchev: 34:18 Right. But I guess, I know, obviously, you don't like to telegraph things on a prospective basis, but we should see continued improvement even though you are facing some constraints or how should we think about that?
Scott Medhurst: 34:35 Wet, at the end of the quarter, we saw wet increase. In this environment, I just -- it's very difficult with many variables in play, economically inflationary to really speculate. We're pleased with the activity. We're pleased with the machine hours increased slightly again in the quarter, which was good and so we'll see how things play out here.
Maxim Sytchev: 35:04 Okay. No. That’s super helpful. Thank you. And then just one last question, you became a bit more aggressive on the NCIB. Just curious to see your positioning on this particular capital allocation versus M&A or -- I mean, obviously, you can do all of the above, but just curious right now in terms of how you think about allocation priorities?
Michael McMillan: 35:31 Yeah. Good question, Max. Thanks for that. So I would say just out of the gate, I would say our capital allocation priorities haven't changed. We do monitor our cash flows and our liquidity very carefully, as you expect. We are expecting to deploy capital, as we've talked about for several quarters now back into the balance sheet, as equipment supply availability eases a bit. And I can easily see that we're going to start to fund our balance sheet and invest in our balance sheet to the tune of -- in excess of two hundred million dollar over time in our inventories, as an example, right. And we've talked about that pretty openly in the last few quarters. 36:06 On the NCIB, what we've looked at is, with the cash position and so forth is just looking at just working towards dilution, reducing some of the option exercise dilution and equity dilution, nothing too aggressive, obviously. And so very selective program and so you should expect that we're going to be very disciplined in terms of how we think about allocating our capital as we always have been.
Maxim Sytchev: 36:35 Okay. That’s great. Thank you so much. That’s it from me.
Michael McMillan: 36:37 Thanks, Max.
Operator: 36:39 Thank you. Our next question is from Sabahat Khan with RBC Capital Markets. Please go ahead.
Sabahat Khan: 36:48 Great. Thanks and good morning. Just, I guess, just following up on the discussion around product support. When you talk to some of your larger mining customers, I guess, is there -- when you try to talk to them about other options in lieu of new equipment is there any hesitation to get into the product support channel, maybe spending two-thirds of the cost to do a rebuild versus just waiting on a new one. Just wanted to get a bit more color on some of the conversations you're having. And our customers are saying, you know what, I'll just maybe wait if I can get something in the next few months. I just want to understand how some of the discussions are going and maybe does that vary across end markets?
Scott Medhurst: 37:21 Well, I'll just say we're in normal discussions with customers in terms of value prop. Those are value propositions when you look at the life cycle of iron. And so we continuously have those discussions and maximizing total cost of ownership, as well as making sure productivity levels are where they need to be in availability. So those are somewhat complex value propositions that our teams are -- work on regularly with customers. Commodity prices are solid. Production is very important. So you get in discussions on timing of scheduled repairs. That can impact things a bit here. But overall, the other thing in this type of environment with some of the constraints, we're working closely with customers on demand signals and getting schedules in place and signals into our supply partners, as best we can to work through this in an orderly manner.
Sabahat Khan: 38:32 Okay. And then just, I guess, when we think about your commentary around hiring new technicians. When you generally look ahead over the next few months, do you think it's more an issue of the potential for headwinds? Is it more from maybe higher wages or is it just the sheer shortage of this qualified staff to bring into your facilities? What's kind of the dynamic out there in your specific markets?
Scott Medhurst: 38:57 Well, again, there's a lot of factors in play right now, which presents our tone a bit here, whether it's inflationary factors, economic risk, but also in the constraints. But in terms of technician, I mean we're -- we've improved this year on our position, which is -- we're pleased. We continue to focus on that area I mean, recruitment, training and working closely with the schools. That's important, we continue to focus in those areas, particularly on the skilled labor. And I'd say we're progressing reasonably well. We can always do better. We feel from what we saw in the quarter, the demands are still there for the labor. And so we're going to continue to work hard on there on that front.
Sabahat Khan: 39:47 And then just one last one for me. Just I guess, broadly on the rental market. Can you maybe just share some thoughts on how you're just seeing the broader rental market evolve, as we come out of the pandemic? And just any comments on the progress of the battlefield banner in terms of market share or anything you can share on that front?
Scott Medhurst: 40:03 Yes. A good question. We are very focused on that area strategically. It's a growth area. Our fleet uploads were impacted, particularly in the last twelve, eighteen months. And so we're not where we want to be at those investment levels. And as hopefully things improve, we'll continue to allocate capital in those areas. Our fleet sizes, the good part was we saw great improvement in the utilization on all fronts, which was good. Heavy was a little softer, but still overall, strong, solid utilization, but those fleet size is not where they need to be. And -- but we're progressing. We saw on the light side, we were up I think nine percent, I think. So that's good on higher utilization. 41:01 Even power systems, very, very strong numbers in there and material handling very pleased with the team, material handling, how they've really improved the structure of that rental business. So that's good. So -- and we continue to be focused on our footprint. That battlefield we did expanded a bit this year, which was terrific on a strategic front.
Sabahat Khan: 41:24 Great. Thanks very much.
Operator: 41:27 Thank you. There are no further questions registered at this time. I would like to turn the meeting back over to you, Mr. McMillan.
Michael McMillan: 41:36 Great. Thanks very much, Valerie. And thanks, everyone, for your participation today. That concludes our call. Please be safe, and have a wonderful day. Take care.
Operator: 41:49 Thank you. The conference has now ended. Please disconnect your lines at this time, and we thank you for your participation.